Operator: Good morning and welcome to the DDR Corp. Fourth Quarter 2016 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Meghan Finneran. Please go ahead.
Meghan Finneran: Thank you. Good morning and thank you for joining us. On today's call you will hear from President and CEO, Tom August; Executive Vice President of Leasing and Development, Vince Corno; and Executive Vice President, Chief Accounting Officer and Interim CFO, Christa Vesy. Please be aware that certain of our statements today maybe forward-looking. Although we believe such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially from the forward-looking statements. Additional information about such risks and uncertainties, that could cause actual results to differ, may be found in the press releases issued yesterday and the documents that we file with the SEC, including our Form 10-K for the year-ended December 31, 2015. In addition, we will be discussing non-GAAP financial measures on today's call, including FFO, operating FFO and same store net operating income. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures can be found in our earnings press release issued yesterday. This release and our quarterly financial supplement are available on our website at www.DDR.com. Last, we will be observing a one question limit during the Q&A portion of our call in order to give everyone the opportunity to participate. If you have additional questions, please rejoin the queue. At this time it is my pleasure to introduce our President and Chief Executive Officer, Tom August.
Thomas August: Thank you. Good morning everybody and thanks for listening into our fourth quarter conference call. I’m going to give a brief summary of our 2016 results and really spend a few minutes on the progress we've made and the strategic objectives we've outlined in the last conference call. Vince will review the operational results and discuss the status of the retail environment, and then Christa will discuss our financial performance and our 2017 guidance. Before I start, Paul Freddo was in the room with us today and I'd like to thank him for his service to DDR. As many of you know he will be stepping aside at the end of the month. He's been here nine years. He's been an extraordinary contributor and leader to the company. He has done a great job with Vince on the transition and we will miss him. So Paul on behalf of all of us at DDR, thank you very much. Let me get on to our 2016 performance. It's been an active year and I think overall it's been pretty solid. We've leased over 9 million square feet of space including Puerto Rico when I give all these numbers, it will include Puerto Rico. Our new leasing spreads have been in excess of 20%. Our renewal leasing has been 7.5%. Our occupancy - we ended the year at 95% which was slightly down and that was caused by the TSA bankruptcy, Vince is going to touch on that and how we’re doing in releasing those boxes in a few minutes. Our average base rent was up almost 5% and our same-store was up 3%. We’ve sold over $133 million worth of assets that included 50 income producing properties and nine pieces of land, so pretty active. I think what we all know is that the fourth quarter slowed down a little bit and that was due to our Puerto Rico situation and bankruptcies. Let me focus now on strategic objectives we had. On the last call which is I guess late October or November, we talked about five things that we really needed to address. Number one, was additions to the Board. If you remember I outlined that we have only five independent Board members and committee assignments were kind of tough, so we needed to add a couple and we wanted to add people with a diverse background, a different perspective from those that are currently on the Board and the management team and I’m pleased to say as many of hopefully have seen in our press release recently, we added Jane DeFlorio. She joined us last week's Board meeting. Her background is in capital markets and retail which is different from others on the Board so I think she is going to be a great addition to the team and we're really delighted that she was able to join the board and look forward to her contributions going forward. We are looking for a second Board member, that process is well underway and I hopefully will be able to announce another Board member certainly by our next conference call which is in the beginning of May of this year. On the management side, as we all know Vince joined us in July. He has gotten up to speed remarkably quickly and is providing us with that retail expertise that we would have lost with Paul's leading the company. So on the retail front I think we are in good shape. Bill Ross joined us as COO in January. Bill is going to be focusing on our strategic initiatives and asset management giving his back on McKenzie, General Electric and [Forced City] [ph] where he headed up the asset management program. We are delighted to have Bill on the team as well. We need to round up the management team, as with the Board's search that process is well underway and I should be making an announcement shortly hopefully by the end of the quarter if not sooner on how we feel about the management organization. Next was our joint ventures. What we wanted to do is we like joint ventures, it help us with our cost of capital but we need to find a partner whose business objectives were more consistent with ours and I think on the Manatee joint venture we have done that. That deal has been awarded. It is under letters of intent. It not yet firm or closed certainly so I can't go into too much details let me just say you that we found a longer term investor who will be buying out the 80% interest owned by the limited partners. DDR will have the opportunity to stay in as a 20% general partner. Our debt will go down slightly through asset sales and as currently structured, our fee stream will be extended certainly longer term and our rights of first refusal will stay in place. I want to spend a minute on this because this was one of the things we struggled on because one of our objective is to simplify our structure, our strategy and really reduce quote unquote [indiscernible] but we decided that this was a good deal for us to go forward with, one, because we had a partner whose business objective is similar to our always. Secondly, it didn't really reduce our leverage a lot by selling this because of the - we only own 20% and the fee stream would go away. Thirdly on a positive side, the fee stream is now been converted from a shorter term which was going to end in May or June to somewhat longer and I think the most important thing from our perspective is by retaining all of the rights of first refusal. There are a number of assets some of them are power centers, some of them are grocery centers but they are in markets we know, their assets we like and I think when our leverage gets a little bit more acceptable levels this will provide us an opportunity to grow. So overall this was a good deal for us and that’s why it was a rationale so moving ahead with it. On ballroom that is our joint venture with Blackstone. There is really not a lot to say on that. We’ve sold three smaller assets. We have a couple more under contract but we received no indication from Blackstone and their intention to sell a portfolio or close out this investment. As you know, we are a 5% equity partner, we provided $300 million with the preferred. Our Blackstone is managing general partners so we are just really following their lead on this. The fourth and probably the one we spent the most timeline and is certainly the biggest for us is our leverage. As you know we had a goal of reducing our debt to EBITDA to 6.0 hopefully by the end of this year. Before I tell you about our activity, let me just give you a very brief outlook on what we are seeing in the market. We are not selling our prime plus assets but given the number of people know we are trying to deleverage. We received a number of inbound calls and our perception is that there is little change in cap rate environment on any assets in any market probably in the mid-5s. There is still a lot of money out there but what we've seen is it's spreads have widened 50 to 100 basis points for B assets and/or B markets. We’re seeing a lot of activity if there is some sort of value added plate anything we’re selling whether it be redeveloping, reposition or re-tenanting space. Buyers want to feel that they at least have an ability to have some upside potential. The market is more limited for stabilized B assets in B markets. We’ve made significant progress on selling assets and I think on our last call I indicated I was hopeful that we have $250 million or so either under contract or sold by this meeting and again this is subsequent to the upstate New York sale which was for $390ish million. Since the Q3 we now have $335 million either under contract or sold since that day at mid 7 cap rate. Additionally we have approximately $225 million to $250 million of assets under letter of intent. Now I will caution you obviously there is a long way from a letter of intent to a contact to sale but I just want to give you sort of an idea of the activity level where we’re seeing. The cap rates on these new deals again are in the mid-7s and we've been selling assets either to get out of some markets where we don't see we have a longer-term future focusing on selling slower growth asset or upgrading the physical quality of the building. Our goal is to convert those assets that are under letter of intent and a couple more into contracts and in sales so we’re budgeting and hoping for another $250 million to $300 million of these assets sold or under contract by June 30. I’ve given you a bunch of numbers so let me just state this in a little bit different way. On 12/31/15 our debt-to-EBIT was 7.4 times. On 9/30/16 it was 7.1 times. 12/31/16 it was between 6.8 and 6.9. Given the $335 million under contract and closed that should take us down to 6.6 and our budget for midyear again with asset closed or under contract will be getting down to 6.4. So lots of progress, long way to go but lot of activity, we’ve got a lot of stuff in the market and I think we're on target to hit our goal hopefully by year end or shortly thereafter. The last strategic goal was Puerto Rico. We’ve made some progress but it has been slower than we had hoped. We have one group that is looking at the entire portfolio and we have several that are looking at different parts of the portfolio. All those groups indicate to us that before they could make a firm offer we needed to know what kind of debt was available for this type of assets in Puerto Rico at this time. So we spent the last two to three months working with investment bankers, brokers and rating agencies and we have received five, I think or six offers on debt financing. The quotes were approximately 60% leverage. Overall the spreads were good but obviously the gross interest rates have increased a little bit as interest rates have risen particularly since the election. So I think we're pleasantly surprised that we received five to six quotes for 60%ish loan-to-value on properties in Puerto Rico at this time. We have now just started to work with the potential buyers and seeing if we can convert those interests into offers and contracts. We’re not counting on these sales to meet our leverage goals but certainly would like to reduce our exposure to Puerto Rico. If the uncertainty on the island with the government oversight board with the new government down there produces poor offers then we’re prepared to sit and wait until conditions stabilize and improve. So summarizing on the strategic objectives on the Board one in place, one more to come. Hopefully we checked that box off by May. On the management side Vincent and Bill are in place look to complete the staffing on the management organization by the end of the quarter if not sooner. The JVs, Manatee should be close by the end of next Board call, or our next conference call. Clearly on the Blackstone we’re just waiting on that we're really following Blackstone's Lee and on Puerto Rico we’re just beginning to work with buyers so there is more to come on that. So with that in am going to turn it over to Vince.
Vincent Corno: Thank you, Tom. Good morning to everyone and thank you for joining today's call. I’d like to start off by summarizing results for the fourth quarter and for the full fiscal year 2016 followed by our outlook and expectations for 2017 and then will finish with some commentary on the overall retail environment. DDR produced same-store NOI growth in the fourth quarter of plus 2% at pro rata share and plus 3% for the full year 2016. This is exactly at the midpoint of our original guidance of 2.5% to 3% for the full-year. Not surprising, fourth quarter same store NOI was pressured by the Sports Authority bankruptcy which cost 110 basis point drag in Puerto Rico which was down 1.1% same-store NOI for the quarter, an caused an additional 50 basis point drag. Excluding Sports Authority in Puerto Rico, same-store NOI actually exceeded our guidance at plus 3.6 for the quarter and plus 4.0 for the year. Our lease rate remains high at 95%, excluding Puerto Rico and retailer bankruptcies the lease rate is actually in excess of 96%. This highlights how well our domestic portfolio is performing and how we are now realizing the benefits of our concentrated efforts to upgrade the portfolio over the last couple of years. For the quarter we executed over 400,000 square feet of new leases and nearly 1.5 million square feet of renewals. This is consistent with the pace of prior quarters. For the year we leased more than 9 million square feet. New leasing spreads for the fourth quarter were up 21.3% and renewal spreads were plus 8.3% excluding Puerto Rico in both cases. The average rent on new deals for the year was more than $19 per square foot which exceeds our portfolio average by more than 20% and drove our overall rent per square foot to grow 4.7% year-over-year. We expect our overall rent per square foot to continue to grow in 2017 as our portfolio quality continues to strengthen principally through planned strategic divestitures. I'm also pleased to report another strong quarter of built-in new growth or built-in growth on new signed leases which was plus 1.4% for both the quarter and for the full-year 2016 and represents a 30 basis point increase over 2015. A follow-up on our Sports Authority stores. As I mentioned in the last call we have 12 wholly owned units, three of which we assumed in the bankruptcy process by Dick's Sporting Goods and T.J. Maxx of the remaining 9, 6 are at least in advance discussions with a list of retailers that include T.J., Dick's Sporting Goods Burlington, ULTA, Petco, Five Below, Hobby Lobby and Sprouts Farmers Market. We expect five of the 12 locations to commence rent in 2017 with the remainder in 2018 at blended positive spread over Sports Authorities rent in the 6% to 10% range. We're seeing similar success with Golfsmith with whom we had six wholly-owned stores. Dick’s Sporting Goods there assumed two leases in bankruptcy and we saw no interruption in the rent stream on those two deals. We have a committee approved dealer and a ongoing lease negotiation with a national high-end home decor outlet, and in another one of the empty stores a deposit of spread leaving three remaining locations all of which are the subject of active interest from the retail community. We will continue to update on our progress. As we target 2017, we remain very encouraged by the operating fundamentals of our domestic portfolio and expect deal volumes and economics to be on power with 2016 setting aside the impact of retailer bankruptcies in Puerto Rico. Our 1% to 2% same-store NOI guidance range outlined in yesterday's release accounts for continuing challenges in Puerto Rico and a possible wide-ranging contraction of the national junior box retailer on the low end of that range. Our 2017 shapes up as a transitional year for DDR. We have to staked our path to returning to same-store growth in the high 2%, low 3% range in 2018 and we are determined to capitalize on the transformational improvements that we have delivered and continue to deliver with our domestic portfolio. On balance, the portfolio quality is never been better and 2018 shows promising growth once we get our Sports Authority and Golfsmith spaces back online. I would also like to address our redevelopment pipeline. I personally visited many of our assets since I started last summer and continue to be encouraged by potential opportunities that we have to add value to our centers. In the fourth quarter we placed $16 million of construction and process into service at an 8% yield as Dick's Sporting Goods and Five Below opened up the Kenwood Square in Cincinnati. I would encourage everyone to see this redevelopment as it is a proud accomplishment for our company. We are on track to place an additional $80 million of CIP in the service over the course of 2017 and high single-digit yields roughly half of which is incremental to same-store NOI. This includes expansions at our recently opened Lee Vista Promenade in Orlando and Belgate Shopping Center in Charlotte, North Carolina. We are also on track to place into service Puerto Rico's first Dave & Buster's at Plaza del Sol that will open up in the fourth quarter of 2017. We continue to combo portfolio for major redevelopment opportunities and are actively pursuing projects at trophy assets like Shoppers World in Framingham, Massachusetts, Midtown Miami and Woodfield Village in Schaumburg Illinois. As everyone knows, the retail environment is going through a fundamental change, in 2017 we expect the disruption to continue. Nonetheless we believe that DDR's high quality power and grocery anchored centers are formats that are positioned not only to survive but to thrive in the new retail order that is unfolding. We're encouraged that many of our retail partners especially of price and discount are posting solid market share gains with comps in the plus mid-single digits and even higher. It is no secret that many retailers that favor power centers are benefiting from the fall out of the malls and the department stores. Grocery stores in our portfolio continue to do well and drive daily traffic to our centers, we feel very good about the strength of our retailers and certainly value the continued partnership. In additions to our compelling and industry-leading retail, convenience also sets us apart, our centers are manageably sized, they're easy to access with ready side surface parking at the retailers doorstep, we're finding that the American Shoppers more mission focused in our shopping trip and the ease of getting in and out is more important than ever. For the same reason, our centers are well suited to serve the evolving dual purpose role of Bricks and Mortar stores as both shopping venue and logistics distribution point, winning retailers working to perfect buy online pickup in store and buy online ship from store models and our real estate format is ideal for this adaptation. Having said that, I also acknowledge the challenges lie ahead since the beginning of the year, there have been multiple and notable retail bankruptcy filings and store closures but fortunate for DDR share owners, to date these bankruptcies will have no little or no effect on our portfolio. It is conceivable however that we will see additional bankruptcies and store closures potentially are impacting our portfolio in 2017. As we always have, we will continue to closely monitor at risk retailers and get out in front of potential vacancies. We have also done a good job of mitigating this risk on the front end by identifying struggling retailers early and reducing exposure in new deals and through divestiture. We're also very proactive and trying to get these spaces back in advance of the bankruptcy filing or store closure announcement. In [Edvane] [ph] there are few tenants that have garnered recent headlines that they are mentioning. hhgregg is 10 wholly-owned DDR centers and six joint venture centers, paying Pro Rata ADR about $3.8 million or 55 basis points, two of the 16 assets are currently on the market for sale in 2017, that will reduce our exposure to 45 basis points and lower hhgregg to number 47 from number 41 on our top 50 tenant list. In place rents average $11 which is far below our new junior box rents are today and offers significant positive spread opportunity. Many of hhgregg stores in the DDR portfolio report sales that are in line or exceed company average which would arguably reduce store closure risk in the event of reorganization. As resources also been mentioned in the media, DDR has 41 pay less locations, there are 125,000 fee total, pro rate ADR from pay less approximately $2.2 million or 30 basis points which we will put it at about number 60 on our top tenant list. These are generally small spaces around 3,000 feet and we are optimistic that we will be able to fill these as we always do in the ordinary course. Gander Mountain is another one that has been in the news with which we have five stores and 20 basis points of ADR. Our exposure here is minimal as we have the three wholly-owned locations all of which are either under contract or slated for sale this year. It would leave us with $100,000 or less of run exposure. We are very comfortable with our manageable exposure to these retailers should they close or file bankruptcy and are optimistic that will back to any surrendered stores with stronger retailers at better rents. Before I finish, I would like to address the flood of recently announced department store closures and the shadow supply that will be soon on the market. We are always laser focused on potential risks to our assets, in what remain to be seen whether retailers - are retailers are real estate agnostic as some spouse, I do not know this. Great retailers want to be next to other great retailers in easily accessible centers with convenient parking that generate high traffic counts in the prototypical box at rents that are proportionate to sales. On all counts, DDR portfolio is an industry leader and we remain highly confident in the long-term sustainability and growth of our business model. That concludes my comments, I will now turn the call over to Christa.
Christa Vesy: Thank you, Vince. For the fourth quarter, operating FFO was $111.1 million or $0.30 per share. Including non-operating items, FFO for the quarter was $111.2 million also $0.30 per share. For the full year, operating FFO was $468.4 million or $1.28 per share which is a 4.1% increase over the prior year. Including non-operating items, FFO for the quarter was $466.2 million or $1.27 per share. During the fourth quarter we closed on the sale of 24 operating assets and three land parcels for $497 million at our share bringing the full year total to 50 operating assets and nine land parcels for $833 million at our share in line with the revised 2016 disposition guidance of $700 million to $900 million. These transactions carried a weighted average cap rate of approximately 7.5%, so far in 2017 we closed on the sale of three assets for $31 million and are under contract saw an additional $168 million. Additionally in 2016, we closed on the previously disclosed acquisition of two power centers located in Phoenix, Arizona and Portland, Oregon for $148 million and subsequent to year end we also closed on the acquisition of 3030 North Broadway, a 132,000 square foot urban shopping center anchored by Mariano's grocery store located in the Lincoln Park neighborhood of Chicago for $81million. The Chicago acquisition in the first quarter was originally scheduled to close in the fourth quarter of 2016 and would have represented an acquisition total for the year of approximately $230 million which is in line with our guidance of $200 million to $300 million. Additionally this acquisition represents the company's desire to not simply acquire large format power centers but to own and acquire the high quality real estate that represents an opportunity for growth and net asset value creation. This acquisition has the primary driver of the $100 million of acquisition activity disclosed in our 2017 guidance release. Before I discuss our 2017 earnings guidance further, I would like to provide some context surrounding the ranges provided in last night's press release. Given the uncertainties surrounding the potential transactions we are contemplating including the significant volume of wholly owned disposition, our commingled managing joint venture, the two Blackstone joint ventures and the associated preferred equity as well as the potential reduction of our exposure in Puerto Rico, we do expected our range could change during the year. We will be a thoughtful and communicative as possible and our commentary to the investment and analyst community to provide much information as possible as we throughout the year. While we understand guidance changes are cumbersome we are making critical decisions in 2017 to set the company up for a clean slate of earnings growth in future years. Regarding our 2017 operating FFO guidance, last night we released an operating FFO range of a $1.12 to a $1.16 per share. The reduction in projected earnings relative to 2016 primarily is driven by our strategic decision of a new management team to de-lever further with a target of six times debt-to-EBITDA while we do not take the earnings dilution expected in 2017 lightly we have made the decision to prioritize our balance sheet over earnings growth in an effort to soon position DDR to benefit from a largely strong cost of capital from a relatively strong cost of capital in an effort to generate outside future growth. Given our view that DDR's share price remains below net asset value, our primary source of capital will be asset sales between $800 million to $1 billion exclusive of DDR pro rate share joint ventures, and the associated repayment of any preferred equity. We expected cap rate on these dispositions to be in the mid to high 7% range and occur largely through the final three quarters of the year. In addition, our current guidance range does not specifically contemplate a potential opportunistic sales of any portion of our Puerto Rico portfolio. Proceeds from all asset sales and investments will be used exclusively for debt paydown which currently contemplates approximately $600 million of near term unsecured notes at a weighted average interest rate of 6.1% and $360 million of wholly owned mortgage debt at a weighted average GAAP interest rate of 3.8%. I would like to point out that the 3.8% GAAP rate does carry a cash interest rate of 100 basis points higher resulting in artificial earnings benefit today with headwind upon paydown of refinancing. In 2017, we expect to pay off over $950 million of near term debt maturities at a GAAP rate of approximately 5.4% with prepayment penalties of less than $10 million. The prepayment penalties will make up the difference between the operating and NAREIT FFO ranges provided. Regarding the joint venture related line items, we expect between $30 million to $33 million of fee income down slightly from 2016 as a result of a $2.6 million one-time fee in the second quarter of 2016 as well as the potential decrease in fees as a result of the Blackstone joint venture. The timing of the exit of that venture remains uncertain and such our interest income guidance contemplates the preferred equity remaining outstanding for the majority of the year. As Tom mentioned we also expect to remain at 20% partner in our 55 asset managing joint venture. Additionally we expect 2017 G&A to be flat to slightly higher than 2016 at $77 million to $80 million and our dividends remain flat in 2017 as our payout ratios impacted by reduced operating FFO. On the operational side, same store NOI will be pressured in 2017 as the recent bankruptcies of the Sports Authority and Golfsmith as well as deteriorating fundamentals in Puerto Rico will away on performance. The full impact of these major tenant bankruptcies are reflected in our same store NOI for 2017. For contact we guided in our release to a range 1% to2% same store NOI growth in 2017 which was driven by approximately 100 basis points in the full year 2017 in back of these bankruptcies and another 50 basis points from Puerto Rico which is expected to produce negative 3.5% to 4% NOI growth in 2017. While the same store headwinds are challenged during our transition year in 2017, we are encouraged by the domestic portfolio run rate which when excluding the impact of Puerto Rico and bankruptcies would have been approximately 3%. As the final line item on 2017 guidance we expect to deliver approximately $80 million of redevelopment, largely back half rated at cost on cost yields in the high single digits as you know we bifurcate out major project like our expansions at Belgate and Charlotte and leaves the general land out as incremental NOI to our same store growth. As a result approximately half of the $80 million that will be placed and serviced during the year is considered major and therefore incremental to that same store NOI figure. Finally I would like to discuss the expected impact of our 2017 capital allocation decisions on future earnings given the significant amount of transactional and joint venture activity projected for this year, there is a risk the timing of that activity leaves further in the year and therefore may lead to further dilution the following year. While 2017 represents a final year of our major disposition in joint venture wind down activity it nonetheless as a multiyear fact and could lead to a multiyear negative impact on earnings growth. Our strategic goals to position this company with the best in class balance sheet portfolio an earnings growth trajectory, while we have full conviction in a long term decisions outlined on this call we are more staggered of the future DDR and the growth and stability that those decisions will detail. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question will come from Christy McElroy of Citi.
Christy McElroy: Hi, good morning guys. Christa you mentioned the multiyear negative impact on earnings growth just looking at the 800 to 1 billion of asset sales in 2017 you expect, you are not transacting amenity how much is then there for the Blackstone JV or for Puerto Rico and can you give us sense for what else in that bucket. I'm assuming it doesn’t encompass sort of - all of the Blackstone JV or may be it has and you still like the stuff Puerto Rico looking beyond how much more dilutive capacity so, its $0.30 kind of the Q4 '16 quarterly number what’s the steady stake quarterly FFO after you do everything that you do want to $0.25, $0.26 I think for the market tricks that the all the things that you are doing and the potential dilution associated with that, those changes, having a sense of what the floor and FFO could be.
Christa Vesy: Sure, so just a back up a bit. From a Blackstone perspective we really aren’t projecting much of an impact on the 2017 earnings, anything that would happen with something that could be kind of more of end of years so that's also from a fee standpoint. When you look year-over-year just kind of bridging from 2016 to 2017 and looking at that may be $0.12 to $0.14 decrease in operating FFO we're looking at about may be $0.09 of that is a combination of probably 2016 the full year impact of the 2016 asset sales, as well as projecting for 2017. Also looking at the bucket of the asset sales and you’re talking about the $800 million to $1 billion as Tom mentioned and as I mentioned in my comment, that’s not really something that specific to Puerto Rico. That’s just looking at an overall general bucket. So that’s something as we progress during the year and we made progress on our asset sales we’ll probably have a little bit more color as to what to that – how that run rate could get impacted.
Operator: And the next question comes from Ki Bin Kim of SunTrust.
Ki Bin Kim: Thank you. Good morning every one. Could we talk a little bit about perhaps evolving dialogue you’re having with the buyers that are looking at the Puerto Rico assets, how has the buyer pool changed, what is the if there is any kind of re-pricing activity that’s happening. And I guess a second part to that question and maybe important is, if you get [indiscernible] including Puerto Rico done, what is the remaining pro forma quality of DDR portfolio look like and if you can maybe apply some operating assistance say for demographic data around it so that maybe the market can better appreciate even though you have less earnings per share what that quality looks like?
Thomas August: Let me address the Puerto Rico first. First of all I guess the best way to characterize it is clearly is the private companies, no public REITs are interested right now. I think that there is a recognition that Puerto Rico might be a great investment at this point in time but you know some of you guys want to get on this quarter to quarter and have to explain it for the next two or three years while it turns. So all of the buyer – not all by buyers, the buyers we’re talking are all private buyers, they are all fund type raising money in the LC Puerto Rico is even with today's rate interest rate they see as a good cash flow projection that they can make some cash flow on and hopefully benefit on the upside when this things turns around it stabilizes. So that’s kind of where Puerto Rico is. And I can't remember…
Matthew Lougee: So Ki Bin it’s Matt. On the pro forma portfolio obviously this would exclude Puerto Rico being a part of the conversation. As we outlined 800 million to 1 billion of asset sales likely domestic, we’re probably looking at an asset count in the low 200 range. Certainly fewer JVs as Blackstone goes away. Very hard to peg demographics on that, we have it internally but obviously it’s a mixed bag of assets sales. We don’t know what’s going to head so it’s hard to peg that. Rents first quarter what I think you see today roughly 15.50 that should be north of 16. Once we get down with asset sales I think you’re looking at a larger overall asset size and notably you’re looking at a growth rate if we’re selling 0% to 1% potentially negative growth rate assets in the 2% to closer 3% range.
Operator: The next question comes from Todd Thomas of KeyBanc Capital Markets.
Todd Thomas: Hi, thanks just wanted to follow up a little bit on Puerto Rico and sort of transacting there. So you have some interested parties, you have some indications for debt financing so it come down to pricing and I was just wondering if you can characterize where pricing is on some level and then what would be a reasonable time frame to get something done from this point forward if something were to get done here at this point in the cycle.
Thomas August: What I can tell you - I am not going to tell you what I think reasonable pricing is. I think we’re going to wait and see and then we'll make a decision when we get that in. In terms of timing I would hope we will have some indication within the next 30 to 60 days and then it would probably be another 60 to 90 after that to close something assuming we had acceptable offers. I think look at where the market is changing pretty dramatically even from the last six month to now, so I think we want to be flexible but prudent and reasonable on what we can live with in terms of pricing on any assets here in Puerto Rico.
Operator: The next question is from Jeremy Metz of UBS.
Jeremy Metz: Hi guys. You talked about some of the increasing interest from the mall based tenants so I just wondering if you can give us some more color on exactly what you are seeing on this front and then with the Golfsmith and Sports Authority leases you mentioned Gander Mountain probably you’re going to get some spaces back from office supply names. So I am just wondering how deep really is the tenant pool and demand today for these bigger boxes and how many of these are more going to be candidates to spend the smaller boxes where maybe demand is a little stronger. Thanks.
Vincent Corno: This is Vince. I would tell you right now we see pretty robust demand as we’ve improved the overall quality of our portfolio. Now the boxes that we are getting back we really not having lacking for demand for the most part. I would tell you that with respect to the small shop tenants, we’ve seen a rise in overtures from - retailers that historically been mall based tenants expressing interest in exploring possibilities of coming in to our centers. I think in recognition of the fact that certain malls in this country may be subject to risks given the department store status, but all said, we're finding tenants and the demand we see is robust for the vast majority of the boxes that we're getting back and we feel very good that we can redeploy these boxes with better quality retailers that would be accretive to the merchandise mix of the center at better rents in most cases.
Operator: The next question comes from Vincent Chao of Deutsche Bank.
Vincent Chao: Hi, everyone. I know we spent a lot of time at Puerto Rico here but just curious you mentioned getting five to six quotes and being happy about that on pricing for the financial side of things. I am just curious when those quotes were provided and whether or not they contemplated some deterioration here we are seeing in the fourth quarter, as well as expected in 2017?
Vincent Corno: I can’t answer what they were contemplating I can tell you that the quotes came in mid-to-late January - certainly mid-to-late January. So they are pretty up-to-date.
Vincent Chao: Thank you.
Operator: And the next question comes from George Hoglund of Jefferies.
George Hoglund: Yes. One more on Puerto Rico. You noted the 60% potential LTV, how much additional financing you think a potential buyer would be looking for in terms of what they be also looking for [indiscernible] any preferred equity and would DDR be willing or think it might be necessary to provide any seller financing?
Thomas August: I think that some form of secondary financing would probably be required and I think depending upon the pricing and where it fits in the capitals deck we will be flexible and certainly considered it may be deal happen.
Operator: And the next question comes from Rich Hill of Morgan Stanley.
Rich Hill: Hi, good morning guys. Promise I am not going to ask about Puerto Rico. I was curious about some of the comments you made about Class B assets and specifically some of the demand that you were seeing for value ad plays whereas the market activity was more limited for stabilized B properties and B markets. So I was hoping maybe you give a little bit more color on the 50 to 100 basis points cap rate widening that you're seeing in B assets, separated between value ad plays and stabilized B properties is it uniformly 50 to 100 basis points or it's attracting the value ad plays is maybe those are widened now little bit more?
Matthew Lougee: Hi, Rich its Mat. So based on Tom's commentary, I would say we haven’t seen any irrational widening of that, you’d argue that 18 months ago it could've been a rational in terms of stabilize B quality centers or A assets and B markets for those that are taking subset in the power center space. We’ve seen that widening roughly 100 basis points we’ve seen that in the high 70 today, I don't think that’s property all for DDR most of the re-portfolio as most of the bulk of our assets were A quality assets and A quality market. But As and Bs and B quality market is what we are selling today. That certainly gone out value ad certainly gets double the triple the number of bidders, if you’re selling 100% leased center that’s a good solid bound in a B market today, you're going to have one-third of the bidders that you already have a vacant box. And whether or not those potential buyers can do better than DDR could potentially do, remains to be determined, but certainly more bidders, better pricing and probably with the value add component who knows on the cap rate at this point as we market this stuff but you're probably two to three times the number of bidders to those assets.
Operator: And the next question comes from Alexander Goldfarb of Sandler O'Neill.
Alexander Goldfarb: Good morning. First Tom nice to see some new blood on the Board and look forward to that continuing. Just a question on Manatee on the Inland JV and you guys before had spoken about simplifying DDR exiting the Blackstone obviously got Puerto Rico on the market and then also exiting the Inland as a way to clean up the portfolio get away from the JVs and just have really wholly-owned assets. So just curious why you guys are deciding to stay in the Inland JV?
Thomas August: Alex there are several reasons. Number one is we found a partner to extend it. So it’s a little bit longer term rather than shorter-term deals that where we are in. I think secondly and again most importantly is, we are undergoing a significant downsizing. Now as we are selling assets, we would like to think at some point we are going to be growing. So to us this was a nice bridge from Point A to Point B we keep the fees in place, we keep the roofers in place on assets that we really like both grocery and power centers and we are thinking that in a not too distant future, we will be able to exercise that role for a number of assets and convert them from 20% own to 100% own. So A it bridges us a little bit certainly with fees and secondly it provides us an opportunity I think a leg up obviously with the roofer to buy assets that we really like to buy when our debt levels are a little bit more acceptable.
Operator: And the next question will come from Haendel St. Juste of Mizuho.
Haendel St. Juste: Hi, so I won’t promise that I won’t ask you any more questions on Puerto Rico, but I guess my question is Tom you mentioned there is more demand from selected pieces of the portfolio in Puerto Rico, which I assume means the better quality assets La Plaza del Sol. So I am curious really how vital are likely partial sale here really is. How would you explain that to the marketplace especially they would leave with lower quality, less desirable assets in Puerto Rico and I guess as a different question, can you give us a broad sense of what the cap rate differential for the upper and lower quality asset in your Puerto Rico portfolio compared to the U.S., your couple U.S. assets? Thanks.
Thomas August: Well I can't answer all of that. But I can tell you this - I think we are recognizing that if we sell part of the portfolio we want to be left with something that saleable as well. If we have 12 assets, we are not selling the top four and you'll stick with the bottom eight. We are going to sell enough so that we are comfortable with what we have left. And you know to be honest there has been so few asset sales in Puerto Rico right now. I don’t think we are in a position to tell you what the cap rate is, we are kind of anxious to find that up for ourselves from our buyers. But I can - you can rest assured that we are keenly aware that people would like to buy the best assets of the best two assets and we recognize that if we don’t sell the whole thing we have to be left with something that is saleable once things stabilize a little bit further.
Vincent Corno: Tom if I could add something to that. I think for the most part across the portfolio the 14 assets that we have on the island they range from power to script to malls, all of those formats we’re comfortable with. So if we mix and match and there is a partial sale, we have the expertise to be able to run very efficiently with the balance.
Operator: And the next question comes from Michael Mueller of JPMorgan.
Michael Mueller: Hi. I guess going back to the JVs for a second. I guess the comment was in 2017 you are wrapping up the major JV repositioning, so it looks like you found the new home for Manatee on Blackstone, it doesn't sound like we should bank on something happening in 2017. Is there anything else that we should be aware of it's on the horizon in terms of the JV unwinding? And I guess by the end of 2018 do you think you could be in a position where Blackstone JV is gone, Puerto Rico is gone is that kind of – what you are aiming for?
Thomas August: Well first of all, we really not in position and have no indications from Blackstone for the timing of the ballroom sale. So I tell in before everybody, but I can’t give you a better answer we sort of model a very little half of this year from an earnings perspective. In Puerto Rico we are anxious to do something but we are anxious to do something on a prudent basis. So we hopefully we will find out what that translates into next 60 to 90 days as these potential buyers come up with offers and then we’ll just to have to give you more update on the next conference call. But I don’t want to project anything right now, because we just don’t know.
Operator: And the next question comes from Carol Kemple of Hilliard Lyons.
Carol Kemple: Good morning. It looks like in the fourth quarter there was about 100 basis points spread between the lease income and commence rate, do you expect that to be similar at the end of 2017 or do you expect that to close and if so where do you expect that spread to be?
Vincent Corno: I am sorry, that was the 100 basis point spread between leasing and commence was that you said?
Carol Kemple: Yes. 140 basis points between leasing and commence?
Vincent Corno: What I would tell you is that we have a number of - this level is pretty consistent with what we have seen in the past, I mean the 40 basis points. We have a number of larger deals that are in the pipeline that’s kind of unique just to this particular quarter. We have a first time for instance at [indiscernible] 30,000 feet. So I would say to you that this is just ordinary course differential. There is nothing in there that is unusual.
Carol Kemple: Okay. Thank you very much.
Operator: And the next question comes from Michael Gorman of BTIG.
Michael Gorman: Thanks, good morning. Could you just spend a little time talking about the G&A run rate and kind of how you think about the platform going forward? You are about a net seller of 700 million last year, another about 1 billion this year, you talk about simplifying the platform. So can you kind of put that into context with 3% increase in G&A at the midpoint and where you think that goes from there?
Christa Vesy: Yes, I mean on a full year basis, I think when we look out at the 3% increase I think we think that’s pretty reasonable. I think we feel comfortable where we sit today with the portfolio that our level is in line. I think it’s not unreasonable particularly compared to where we see our peers. Obviously it’s a number that we’re mindful of and we pay close attention to. But I think when we look out again how we’ve trended as a percentage of revenue over the years on the portfolio side I think we see that number, there is room for improvement but I think it looks pretty in line for this next year.
Operator: The next question is a follow-up from Christy McElroy of Citi.
Michael Bilerman: Good morning it’s Michael Bilerman with Christie. Tom I had just two questions. One in your opening comments you talked about having some announcements by the end of the quarter if not sooner on the completion of the management team and so I am just curious maybe you can expand a little bit on that but also talk about the G&A impact whether that’s in the 77 million to 80 million or not in terms of the types of hires that you are looking to make. And then the second question relates to sort of FFO and the trajectory and I think you and Christa had both talked about there is a lot of things that are out there in the guidance are going change over the year. I think one thing that would be helpful for the street is start to focusing on where you are going to be when all set and done and perhaps thinking about where you are going to be in the fourth quarter after you’ve at least completed what you’ve laid out in the guidance of you know almost $1 billion of sales and the same-store. What is that quarterly FFO in the fourth quarter? And then we can start modeling in Puerto Rico, we can start modeling in Blackstone and then I think the street can start focusing on what that bottom level is of FFO so they can get comfortable in buying the stock. And I think having that disclosure and having those numbers would be very helpful.
Thomas August : Unfortunately Michael I cannot give you too much more color. Obviously as I said, we’re well underway in the process of finalizing the management organizational positions. I think we’re in good shape. If we find a real good guy who wants a lot of money we’ll pay him slight effect to G&A but right now I think we’re good shape on that.
Matthew Lougee: Michael, it's Matt. On FFO growth as we think about modeling in conjunction with how you guys think about it it’s not lost on us that our trajectory is down significantly this year. We are contemplating internally what the run rate on that it. I think based on the same store, the long term same stores guidance of this portfolio which we’ve not given yet and we will articulate to the market of hopefully something closer to 3%. In addition of our redevelopment pipeline and transactional activity I think a range of 4% to 6% FFO growth is something that we’re targeting internally and so I think we’ll be out with those assumptions soon. One thing we do want to note to the market is that in 2018 as a result of significant transactional activity in 2007 it will pressure, will likely pressure earnings in 2018 and we hope that that’s modeled in and we’ll work with the street on that. But after the impact of those asset sales we do expect to be a 4% to 6% FFO growth company, healthy dividend growth on top of that to get to a high single-digit total shareholder return after that.
Operator: The next question comes from Chris Lucas of Capital One.
Chris Lucas: Hi, good morning everyone. I guess Tom just trying to get a little clarity on the disposition pool given the fact that you sort of removed the JVs from that as a potential source or not a likely source of proceeds and Puerto Rico also sort of not being included. So I guess what I'm wondering is that what risk is there that out of the $800 billion or 1 billion of asset sales that you're targeting for dispositions this year, how much of that is actually going to remain a prime or prime plus type category or muscle essentially being sold in order to meet the leverage guidance.
Thomas August : No, what we've done, we’ve sort of prioritized the sales in terms of as metric site outlined at the beginning, whether we slow growth markets we don’t want, fully leased. And so far so good, I do suspect that as the year progresses there will be have to be some trade-offs we’re going to make because not everything is going to hit, we’re going to find some markets as Matt alluded to before where maybe it’s a stabilized B market or B asset and people just, the cap rate is too light for us to swallow. So as of yet we haven’t had to make those trade-offs so I would think that maybe just is a wild guess, you know, 200 million to 300 million maybe we have to go to prime assets if everything – if something fall out of bid. But so far we’ve got a list of assets that I think we’re comfortable with and so far the market is absorbing them. If it changes we clearly going to have to make some decisions but I don’t think it’s going to substantial.
Operator: The next question is a follow-up from George Hoglund of Jefferies.
George Hoglund: Just looking at total potential asset sales in 2017, hypothetically if you guys got a bid, an acceptable bid for the whole Puerto Rico portfolio tomorrow would that impact how you review the remaining asset sales or could we end up in a scenario where we see 1.5 billion to 2 billion of asset sales in 2017?
Thomas August: Well, let's gets that offering will be, that will a great position for us to be in but clearly would affect it. I mean, especially as we reflect in the previous question that was asked, if we have to start trading-off between prime assets and selling things. If we can get Puerto Rico sold I'm sure it will make us and the Board rethink how much we should be selling to get our leverage done and maybe we’ll go a little bit lower than 6 and maybe we’ll just decided if that’s enough and clearly there will be some trade-offs we make if we get an offer for Puerto Rico that’s acceptable shortly.
Operator: The next is a follow-up from Ki Bin Kim of SunTrust.
Ki Bin Kim: Thanks. Just a couple of quick ones here. Is Puerto Rico I guess doesn’t happen to the degree you're expecting, does that effectively make you want to slow down other asset sales because Puerto Rico would take up more of your NOI - the slides of NOI pie. And the second question you mentioned cap rates in the A markets for A assets. Just broadly speaking what percent of your portfolio of NOI is in that group?
Thomas August: I think that we have a goal of getting to the 60 times. We haven’t budgeted Puerto Rico being sold in there so I don’t think as I sit here today that that would affect our thinking very much and I think we want to – we get down we’ll have to deal with Puerto Rico some other way. So I think that answers the first question Matt, I want you to take the second part.
Matthew Lougee: Ki Bin it’s Matt. And we’ll provide you guys with a much better breakdown of portfolio post asset sales. At this point today A assets in A market is classified by call the top 30 MSAs were very, very strong growth assets in the top 50 MSAs. I think I guess probably three-quarters of the portfolio that’s in there. The remaining 25% you are going to have Puerto Rico and then you are going to have A assets and B markets and that’s some of the stuff on the market today, very, very little non-prime and prime minus stuff. So probably three-quarters of that is As in A markets.
Operator: And our next question is from Floris van Dijkum of Boenning.
Floris van Dijkum: Thank you. A quick question for you guys. In terms of property type it sounds like maybe you are more open to broadening your - the type of ownership obvious the acquisition in Chicago was more of a lifestyle urban lifestyle center and the Manatee has a lot of grocery anchored. Are you - you think that the composition of your portfolio in two or three years’ time could have a lesser way to power centers?
Thomas August: I think it may change. I think what we’re looking at in terms of I don’t think - this is not a total strategy shift but I think 70% of our portfolio today has some sort of grocery component to it and I think that what we’ve seen is the quality and how we’re able to handle grocery especially in markets where we have a big presence we’re very comfortable with. So I think we’re going to be focused clearly going to be a power company but focusing on good real estate and good markets and especially if we have a presence here I think we’re more likely to stick with grocery than otherwise.
Operator: And next we have a follow-up from Christy McElroy.
Christy McElroy.: Just a question on the disposition 800 million to 1 billion what is the range of cap rates on the aggregate dispositions as embedded in guidance. And secondarily, I assume those are excluded from the 1% to 2% same-store growth but what would that collection of assets have done in terms of same-store performance or what was the total portfolio has been if those assets were included.
Vincent Corn: I think overall we’re in the 7.5ish rage for everything we’re projecting to sell and I am not sure I understand. Matt did you understand this.
Matthew Lougee : Yes, we’re in the 7.5ish range for what we’re selling Michael. One thing we caveat on that based on your follow-up question on growth is that we view the NOI the lot of these assets at risk and so the year one cap rate is not really indicative of a cash flow growth profile of these assets which is why they are on the market. And so the NOI growth is certainly below what we’re projecting for the long-term growth of this company at 2% to 3% hopefully on the higher end of that range. So the ones we’re selling are you can assume are credibly in the flattish to potentially negative growth rate range.
Operator: And this concludes our question and answer session. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.